Operator: Good afternoon. This is the Chorus Call conference operator. Welcome and thank you for joining the Azimut Holding Full Year 2024 Results conference call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Gabriele Blei, CEO of Azimut. Please go ahead.
Gabriele Blei : Good afternoon to everyone and thank you for joining us. As usual, we'll go through the presentation as quickly as possible and leave room for Q&A. So let's start on Page #4. We provide you with a recap of the last six years. As you can see, going through volatile markets, where just as a reminder, we went through COVID, geopolitical risks, increasing interest rates and so on and so forth. And on top of that, we had to change the fee structure which casted some doubts on the sustainability of our business model. Well despite all this, this year we have recorded the highest level of revenues and the second highest level of net profit which has led to deleverage process which was announced back in 2019 when we took out the leverage of up to €900 million. And through the organic cash flow generation, we ended this year with the full repayment of all the debt commitments that we had. And despite all this, we have proposed to pay a dividend of €1.75 per share, which is in line and consistent with our dividend policy and takes into account the solid results and the fact that we are now debt-free in our balance sheet. Clearly we also remain committed to invest in growing the business further as well as use buyback to enhance total shareholder remuneration. On Page #5, again taking a long time frame, this is a company that's doubled AUM every five years, since 20 years now, growing in Italy and overseas, comprising today asset management and distribution networks in 19 countries. And we will continue to pursue this growth trend in the future. On Slide #6, a snapshot of the flows, you can see this broken down by regions, €3.9 billion out of Italy, €1 billion out of the EMEA region with especially Turkey and the UAE making more than 60% of that amount as well as Monaco worth nothing, a good inflow trend during the entire 2024, thanks to the recruitment of some private bankers. The Asia-Pacific region with €1.5 billion, clearly the lion’s share is, thanks to our Australian set up which has also benefited in terms of M&A but we will see this in a second. The Americas with €3 billion, here again the US has contributed significantly both in terms of organic as well as M&A and Brazil which fully came back after that complicated 2023. This with the M&A of €8.9 billion of which €2.8 billion belong to Australia and €6.1 billion belong to the US, we concluded the year with €18.3 billion net new money for the entire 2024. Moving to Slide #7, just as a reminder, we took a strategic decision back in 2010 to have an international footprint in order to benefit in terms of AUM growth, in terms of breadth and diversification of our investment teams, as well as our capability to generate performance for our clients. And this has led to reaching €52 billion of assets under management and a number of investment hubs across all the main geographical regions with clear benefits in terms of investment ideas and contribution to the performance of clients. Moving to Slide #8, this is just a snapshot of how things have evolved in terms of breakdown of recurring revenues vis-a-vis performance fees. As you might remember, back in 2019, during the Investor Day we stated that the performance fees would have been following the change in the fee structure in the region of 5% to 10% of total revenues. And as you can see, 7% has been a particular good year in terms of performance fees with €100 million generated over 2024. Although it's important that our forecast has proven to be correct also in this circumstance. Moving to Slide #9, a quick highlight of the full year 2024 revenues. I will focus on the full year while Alessandro in a minute will look at the quarterly development of Q4. Just a note before we dive into the numbers, you should bear in mind that the full year 2024 number of total revenues do not take into account 15 days in December following the deconsolidation of AZ NGA numbers, which account for roughly €6 million of revenues. So starting from the recurring fee component, we have a platform expansion which has benefited both Italy and our overseas operation. In fact, the delta vis-a-vis the previous year is for €79 million. €36 million are related to Italy, mainly driven by private markets, which explain €25 million of the €36 million, and the advisory services and UCITS fund that are contributing for the other €10 million. As far as the foreign operations are concerned, the delta is of €48 million vis-a-vis the previous year. And I would say that 70% of that is explained by the combination of the development in Turkey as well as in Australia. Moving to the variable fees, we have €48 million versus €18 million, so plus €30 million the year before. Of the €48 million, I would say that €30 million belong to Italy, €28 million are related to our overseas operation across a number of different countries, but worth mentioning Turkey, Brazil and Switzerland. And then we have to account the negative fulcrum of €10 million. Last but not least, we had a positive performance from Private Market products, the Automobile Heritage Enhancement Fund which had a positive print of a sale of one of the assets within the fund. Moving to the insurance fees, we have €161 million of total insurance revenues, so €50 million more than a year before. We can explain this €12 million for the recurrent fee component, thanks also to the AUM development and then €38 million belong to the performance fees, which in total have accounted for €57 million of performance fees in 2024. Last but not least, other fees and entry fees of €44 million, broadly in line with what we had achieved the year before. Corporate and Investment Banking activities have reached almost €20 million of fees. Moving to the cost side, also here a initial statement, we have, as you can see in the slide, an increase of 13% of costs. Although to better represent the underlying industrial development of the cost, we want to highlight that in the full year 2023, we have to take into account the fact that we released €12 million of provisions which are not repeated this year. While in 2024, and we will dig into the details in a minute, we had incurred €7 million of extraordinary costs or one-off costs. So if we strip those items from 2023 and 2024, we would see a cost growth of 10%. So moving to the breakdown of the cost, distribution costs are €432 million of which or better €43 million more than a year before of which €35 million belongs to Italy. And I would say roughly speaking, €30 million of that is explained by the fact that the revenue has increased and therefore we have a linear relationship with the rebate that we provide to advisors out of our management fees. And then we have incurred some higher variable incentives for our network. You can imagine the year has been a good year. We have variable incentive remuneration plans that are linked to our net profit generation and when we overcome our target there is an over performance element that we have to factor in. You also have to incur some one-off cost to some selected FAs, thanks to their performance. And last but not least, we are incurring some higher marketing and event costs especially linked to the TNB project, i.e. the bank project that we have discussed several times. In terms of foreign operations in the distribution cost, we had an increase of €8 million and this is, I would say broadly in line with the growth and development in the recurring revenue line that we have commented before. As far as the SG&A line, €347 million versus €310 million the year before, so an increase of €37 million. €8 million of these €37 million are related to Italy, mainly I would say, €3 million linked to variable remuneration, whereas there is an increase of €5 million related to IT and operational costs, which we can explain with the growth of the business. The foreign business has increased by €28 million SG&A and the lion's share here is from Australia as well, as we have noted before. The provisions are back at the normal level after the release of the €12 million in 2023, so we have closed the year at €37 million. Moving to Slide 11, the EBIT progresses by 11% to €653 million, or an EBIT margin of 44.4% roughly stable with the year before. As you have noted that throughout the year, and we have been able to comment, this year the finance income line has become quite significant, mainly following the capital gain on the sale of the 20% stake in Kennedy Lewis, as well as the partial sale of the AZ NGA transaction. We have had positive net interest income as well as a contribution from realized and unrealized capital gains and losses on our proprietary investments. Last but not least, the dividend from GP staking business of €7 million, which is, I would say, 70%, 80% explained by the US business in whole. Moving to the adjusted net profit, and we provide the adjusted net profit just to strip out the IFRS 17 variation, consistent with what we have done the year before. So we close the year at €588 million in terms of adjusted net profit, or €576 million reported, an increase of 29% and a very healthy 57 basis point net profit margin. Moving to Slide 12, and once again we provide, and as you may recall, our dividend policy is based out of the recurring net profit, which strips out a number of extraordinary or one-off items, including performance fees, fair value options, unrealized gains and losses, and the capital gains of the two transactions that we have mentioned before. We reached €405 million, which is twice the level we had back in 2019, and the highest recurring net profit that has therefore led us to propose €1.75 per share dividend for a total of €251 million, or up to €251 million, that will be paid as usual in May 2025. The next slides are here for your perusal, and I would tend to skip the details of these slides, but you can see the breakdown by verticals, Italy, International, Private Markets and Fintech. As you can see, there has been a development in the average assets across all the four verticals. In terms of total revenues, you note a stable margin across the board, with probably one positive exception that is related to the Private Market development, thanks to the evolution that we have had over the past years in terms of Private Market growth of assets, and therefore this is reflected also in a very healthy revenue evolution. In terms of EBIT, once again, stable margins across the board, with the exception of the Private Market, that is posting a significant increase. And last but not least, in terms of adjusted net profit, we are benefiting from the growth that we have seen above, and clearly below the operating line, the Private Markets also take into account the capital gain from the Kennedy Lewis transaction, whereas the Fintech and Corporate Investment Banking activity has accounted for a very conservative approach of a write-off of a participation we have. Moving to the business update on Slide 18, you see here the usual weighted average performance clients have had in 2024, almost a 9% net of fees weighted average performance in excess of the industry, and we continue to over perform also on a medium-term period by roughly 80 basis points in excess of the benchmark. On Slide 19, you have the usual representation of our Luxembourg UC funds only, which provide for a breakdown by category and underlying assets of how we are managing client’s money and exposure. Just as a note, do bear in mind that this varies quite frequently also given the volatility in the market. Slide 20, the usual development in our AUM in the Private Market side, taking into account in the second quarter of 2024, the deconsolidation of Kennedy Lewis and Pathlight, and now we stand at €6.4 billion AUM, of which you can find in Slide 21, the breakdown by asset class and region with Italy accounting for 81%, again, following the deconsolidation of Kennedy Lewis, and International business, mainly the US and Brazil, accounting for 19%. Very balanced in terms of asset class with 26% of private equity, 30% private debt, and the infrastructure for 30%. As we have been discussing Private Markets quite extensively in the last six years, we thought that we would like to provide you some of the very initial exits that some of our funds are delivering. These are obviously not an indication of what will be the final returns of the funds, but just a snapshot of what's inside those funds and how they are performing when they manage to get some deals done and exit materialized. So I'm not going to comment on each one of them, but as you can see on the first slide, the two significant transactions worth €34 million or €60 million have provided for significant money or IRR returns that hopefully will continue also with the other participation in those funds. On Slide #2, you see across the different type of funds, so from private equity to venture capital to some pre-booking structures that we have launched and exited, are providing significant returns in terms of money, money as well as IRR. Moving to Slide 25, we are reproposing here the same slide we used in early November 2024 just to highlight the three ways in which we can complete the bank transaction, so the spin-off and listing, the sale to a financial partner, the sale to a banking partner. I will not go over on the pros and cons of each one of them, but we just wanted to simply reiterate that this transaction will take place one way or another and our beacon will simply be to create more value for our shareholders. Where do we stand? We stand, that in December 2024, the spin-off has been approved by the Board of Directors. We have entered an exclusive agreement with FSI, which has been signed, and we stated that the transaction value after taxes is in line with the initial estimates over time. Just as a quick reminder and clarification, if you recall, we had indicated a value of €1.8 billion to €2.2 billion for the 100% growth of tax, which translates into €1.2 billion to €1.5 billion net of tax. Of that, we have stated that we will be or we are working to sell up to 80% of TNB and therefore receive the proceeds over time as is customary for this type of transaction. The extensive due diligence is underway and there are no things worth mentioning. So from our side, the process is on track with key assessments and evaluations that are being finalized and we are looking to provide further updates in the next couple of months. We do understand that you are very keen to get more information and that we should provide this on a constant basis, but given the complexity of the transaction and the many moving parts, we just wanted to reassure that things are going ahead, that we have a very open and constant dialogue with the authorities about it, as well as with our potential partner with whom we are in negotiation. The company and we therefore expect to obtain the banking license in the second half of 2025 and as always, we are very much committed to creating value for our stakeholders. The envisaged use of the proceeds, which have been discussed in the past as well, is to primarily invest in organic growth, both in Italy and abroad, to strengthen the networks of financial advisors, as well as to develop IT solutions, as well as advanced advisory services, for the benefit of the business and our clients. On top of this, we will therefore also invest in inorganic growth, as we have always done up to now, in Italy and abroad, in Asset Management and Private Markets, as well as in the Corporate and Investment Banking businesses. The other element of the use of the proceeds are dividend and share buybacks. We will continue to remunerate shareholders with dividends, as well as use buybacks to unlock additional value and address market undervaluation, which we continue to see. I will leave the floor now to Alessandro for the financials and then take back for the outlook.
Alessandro Zambotti : Thank you, Gabriele. As we anticipated, following the full details provided in relation to the 2024 results, I will focus on the last quarter of the year, and I will try to compare it with the third quarter, and trying to give you more details on the evolution of the business. Overall, the total revenue increased by €63 million, the operating cost by €15 million, therefore, overall, the operating profit increased by €48 million, with a revenue margin on the AUM that increased by three basis points, and as well, the operating margin is, nowadays, close to 47%. Back to some details of the single line of the P&L, the recurring fees increase of €10 million compared to the third quarter of 2024. Again, here, I recall the message provided already by Gabriele related to the deconsolidation of the Australian business. Therefore, we are missing almost €6 million in terms of increase of the recurring fees. Therefore, overall, we can, if we consider this element, overall, the increase of the recurring fees are coming 50% from Italy and 50%, more or less, from the International business. To the level of the variable fees, almost €39 million in Q4, following also the note that we have a stronger performance of the individual managed portfolio and the pension fund, and that provided, let's say, almost €30 million in terms of variable fees, and as well, the International business produced their contribution to this line with €13 million, mainly in Turkey, Switzerland, and Brazil, with a net impact, negative impact of the fulcrum for €3.8 million. The Other income provided us a bit of increase compared to the last quarter, thanks, again, to a better conclusion of the year at the level of Investment Banking activities, and as well, the International revenues demonstrate a strong increase of almost €11 million, thanks to higher contribution in terms of performance fee for €6.3 million, and as well, from the recurring fees by €5 million. At the level of the cost, distribution cost, again, we have [noted], we have a general increase of €13 million, €8 million are coming from the Italian perimeter, and €5 million from the International one. And as well, as already anticipated before, we have higher variable incentives to FAs with extraordinary cost at the level of the bank, the project TNB, and a higher marketing and event cost. We have personnel and SG&A cost that are almost flat, but as well, here, we should take into account the deconsolidation benefit, therefore, often the other way that we commented the increase of the revenue, as well, here, we benefit for around €4 million less cost, and that are compensated by higher variable compensation to the investment team globally, linked, again, to the particular and positive growth in terms of performance. Moving to next slide, we have the last part of the P&L. In the finance income, we have almost €24 million positive that are generated by the contribution of the capital gain generated by the transaction of AZ NGA, the fair value option that contributed by €11 million, the interest on the cash accounts that has a positive effect and impact on the quarter by €6 million, and as well, the contribution of dividends from GP stakes. Non-operating cost, we have a significant increase, €12 million, compared to the last quarter, compared to the third quarter ’24. And here, we have the impact of the transaction cost related to the TNB project that we know, as again, already explained, we are still running with the involvement of different advisors, and as well, we build the right of the discontinued back-end program in Italy. Moving forward, we move to the net financial position, as you can see, compared to the last year, 2023, we double our net financial position. In mid of December, we repay the bond for €500 million, and if we try to reconcile the evolution of the net financial position, starting from 2023, we should add the contribution of the profit before taxes, so €822 million. We take out the M&A activities and transactions for €40 million. We take out the dividend paid during the year, €160 million, and as well, the significant amount paid in tax that we already explained last year and last quarter, how is evolving the element related to the tax. We are almost reconciling the level of the net financial position at year end. A few slides relating again to the dividend, so on the left side, we remark and we recall our current dividend policy that is ending now in 2024. Therefore, a new dividend policy will be presenting in 2025, and then on the right side, we remark, let's say, the level of the contribution of the proposed dividend with a significant, I mean, level of recurring EPS, and as well, a dividend yield of 6.7%. And then, last but not least, the increasing of the evolution of our dividend paid to our shareholders year-on-year, where we demonstrate the discipline of the group to continue to invest and repay the bond as we did at the end of the year, and at the same time, we align the remuneration of our shareholders in line with the results achieved. I'm going to leave back to Gabriele for the outlook.
Gabriele Blei : Thank you very much. So, on Slide 35, we have provided a different view of the highlights of the past six years. This is a company that has produced consistent growth in line with previous stock managers and in the wake of Azimut tradition. We strengthened Italy, we have increased our size and profits with our international presence, we have developed from scratch an alternative private market platform for retail and institutional investors, and we have kept our goal to deliver performance to our clients, which is the most important aspect of all. All this produced €2.8 billion of accumulated net profit to support a friendly shareholder's remuneration. So, stay tuned, because all this dynamism and the innovative approach is set to continue in the future. For 2025, the targets are reconfirmed. So, we are looking to reach net inflows of €10 billion and the net profit that ranges from at least €400 million up to €1.25 billion, depending clearly on the TNB authorization, which is expected to come during 2025. As far as M&A, beyond the completion of the TNB project, we are selectively looking and scouting some accretive targets, and we have already communicated at the beginning of the year the intention to expand in two new markets, one in the African region and the other one in Asia. That's all from us. We're happy to take any questions. Thank you.
Operator: Excuse me, this is the Chorus Call conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Hubert Lam from Bank of America. Please go ahead.
Hubert Lam : Hi, good afternoon. Thanks for taking my questions. I’ve got a few of them. Firstly, on the net financial position, it's very strong at €750 million, even after all these adjustments. I'm just wondering why you haven't done anything yet with it in terms of maybe a buyback, or do you think there are potentially more opportunities out there for organic growth and inorganic growth? So just wondering how you see the near-term opportunities around the excess capital you have. That's the first question. The second question is, you talk about these new opportunities in Africa and Asia. Maybe you could just elaborate a little bit more in terms of which countries and the opportunities you see there. The third question is on, if you can give us an update on the new bank in terms of deposit gathering, how much have you gathered so far? And last question is, you talk about all these strong returns in the Private Markets across some of these investments. When should we start thinking about carried interest for your Private Market funds and it contributing to your P&L? Thank you.
Gabriele Blei : Thank you, Hubert. In terms of the net financial positions, we are very, very satisfied with the cash conversion that the business continues to have. As you probably are aware, our main focus this year has been to fully deleverage and complete the deleverage process. In some occasions, we discussed how we would have done that. And in some instances, there were some doubts that we would have been able to repay the debt and meet all our commitments. We are and we will be always very, very disciplined in the use of the cash. As you know, we are financing all the projects by ourselves or when it is needed with the access to some debt. We have been very comfortable in proposing this dividend of €1.75 per share given the strong cash flow generation and the fact that we have come out with the deleverage process completed exactly as we were planning five years ago. So from our perspective, the buyback is an additional element of shareholders' remuneration, something that has to be done with the financial backup and in the best possible ways to enhance the shareholders' return that we always try to achieve. As always, we will propose to the AGM the possibility to have a buyback program approved. And typically, we like to announce this when we feel that there is an opportunity to grasp. In terms of the new opportunities in the African and Asian continents, what we are trying to do and the aim is to either complement our geographical exposure or add some competencies that will enhance the value of the franchise that we are building. If you recall, in the Middle Eastern region and African region, we have started with Turkey, then we added the United Arab Emirates, then we added Egypt to be able to become a very credible player in the region across asset classes and serving different types of clients, both institutional and retail, through the creation of some proprietary financial advisory networks. So, what we will be doing and announcing in the coming months and weeks will be some addition to this platform that we are creating that will enhance the geographical footprint. The new bank deposit gathering activity, I don't recall to have mentioned the amount of deposits we have collected. What I can say is that the activity is going on with the partners that we have found in Illimiti and we very much look forward to be able to continue this also on our own banking platform. Private markets carried, we are seeing these positive news that we wanted to share with you because we heard some initial questioning on the capability of our investment teams in the Private Markets to generate performance. So, we wanted to reassure everyone that the funds are performing well. We have some participations that have already been divested. Clearly, having started this project back in 2019 and with the first fund closing in 2020, you can imagine that a typical Private Market product has a five-year investment period and therefore, we would be willing to see some carried interest generated in the coming years as funds will approach the closing and therefore, the payback to investors and the asset manager in terms of carried interest.
Hubert Lam : Great, thank you.
Gabriele Blei : My pleasure.
Operator: The next question is from Gianluca Ferrari from Mediobanca. Please, go ahead.
Gianluca Ferrari : Yes, hi, good afternoon. Ciao Gabriele, ciao Alessandro. The first one is on the dividend. I see you are planning to unveil a new dividend policy. I was wondering if the introduction of a ratchet policy is something you might consider to attract value funds, for example. The second is on TNB. I know you cannot unveil that much given that the negotiation is underway, but I was wondering if the general framework, such as, for example, the accordo di garanzia is still there and the buyer is committing to this kind of agreement. And second, if the adoption of the banking license will require a significant injection of equity in TNB and who will take care of this. And the third and final on Private Markets, again, I saw the exits you put in the presentation. I was wondering if those exits were done sponsors to sponsor or via IPOs or other means. And in this respect, I think at the very beginning when Mr. Giuliani presented the program, you were also referring to the development of some secondary funds or continuation funds to give more liquidity in the private equity space. I was wondering where we are with this kind of development. Thank you.
Gabriele Blei : Thank you, Gianluca. So let me take the last question first, the Private Market development and evolution. There is a mixed approach in terms of how we exited the investment. And we are by now very active in terms of getting the sourcing our origination process as well as the capabilities we can have to divest our investments, whether it is driven by the founders, entrepreneurs that are at our side or through some options or other ways that we can find to maximize as much as we can the value that we have generated and therefore we can extract. In terms of TNB, the approach, Ale, you want to comment on this?
Alessandro Zambotti: Well, I mean, the guarantee is something that is not, let’s say, challenged by FSI. Therefore, nothing, I mean, no issue to the moment. That's it. I mean, we are just following the process without any issue on that. Thank you.
Gabriele Blei : Last one on the dividend, we will tend to discuss this as soon as we are ready to present you a comprehensive strategy of the development of the firm, including the remuneration to shareholders via dividend, which will be very much articulated in our industrial plan. And we're happy to listen to investors and you guys to understand if you have any recommendations.
Gianluca Ferrari : Sorry, and on the capital needed to get the banking license, given that it's going to be a request to Bank of Italy, I guess. Any comment on the size of this cash and if it will be you to inject this cash in TNB?
Gabriele Blei : Listen, it's going to be very much related to the deposit base, as we have mentioned in the past, and the growth of the deposit base. And it's a point we are discussing with FSI in order to have this included in the agreement. But it's not something that creates problems with our potential partner at the moment.
Gianluca Ferrari : Very clear, thank you very much.
Gabriele Blei : Thank you.
Operator: The next question is from Alberto Villa from Intermonte. Please go ahead.
Alberto Villa: A good afternoon. A few questions from my side as well. One is on the cost growth, 10% adjusted in 2024. I was wondering, there has been probably some additional cost, as you mentioned during the speech. Maybe you can give us an indication of what to expect in terms of cost inflation in the next year, maybe isolating, if possible, the effect of the TNB project. The second question is on the guidance, the lower end of the guidance, at least €400 million net profit. Maybe you can recall us what it does include in terms of lower contribution from the assets you have disposed during 2024, the additional cost for TNB, and any other maybe color on the assumption of non-recurrent or variable profit embedded into the guidance, if any? Again, on the guidance of €10 billion in terms of net inflows, you already announced in early 2025, recently, a new acquisition. So I was wondering if that assets are embedded into the guidance of the €10 billion you mentioned, and maybe if you can give us an idea of what is the organic target for net inflows in 2024. And the last one is on the outlook for recruitment. We have been hearing that there has been some movement within the networks in terms of consultants moving from one network to the other. Maybe you can provide us an indication of what to expect in terms of recruitment in 2025 in Italy. Thank you.
Gabriele Blei : Thank you, Alberto. Let me try to answer without annoying all of you guys for too long. These are very important but articulated questions. First, the outlook for recruitment, yes, there is a market. It is a competitive market. We are not seeing prices going up dramatically, but clearly, there is strong competition. Probably, this is also fueled by the fact that there are a number of takeover bids across the banking/non-banking industry, which might initiate some discussions sooner rather than later. Certainly, we have also experienced some people leaving us, although the ones that are physiological comprise the big part of the reduction in FAs that left to go to competition. We are not too concerned of that. As always, there are a bunch of people that we wish not to lose and they decided to try different companies. But still, we can count these on one or maximum two hands. It is part of the competitive landscape that we are seeing. We do think that as things will be much clearer in terms of the banking project, we will most likely generate more attraction because an element of uncertainty will no longer be on the table. And certainly, we are also hiring some very high-profile financial advisors and private bankers from some of our competitors these days. And we are very pleased with that, especially in the Azimut network that stays. In terms of our flows, organic and inorganic, I would say that it is always incredibly difficult to answer the question at the beginning of every year because already we have to provide the number based on some assumptions and these assumptions change on a daily basis. As you can see, we do not live in a very quiet world these days. So I would stick to the €10 billion indication with clearly a general comment that we expect the bulk being related to organic flows and we might be in the position of completing some M&A transactions. Some of those we have mentioned to you already will contribute to some extent to reach or overcome the €10 billion inflow target. Cost growth adjusted 10%. Again, we adjusted that because we feel that we can provide you a better indication of the underlying evolution of the cost base of the company. And because we have always mentioned cost inflation that this company typically has ranging between 7% to 10% depending on the year, depending on the change of the perimeter, depending on the type of investment that we want to make. We do have some expected cost savings in 2025 which will be then used to generate additional investment in the business and in our growth profile. However, I would stick to the indication of a 7% to 10% cost inflation for 2025 which is consistent once again with the €10 billion inflow target and the guidance that we have given which I will try to comment in a minute. Ale, do you want to add something?
Alessandro Zambotti: No, I mean, fine.
Gabriele Blei : Okay, and then on the guidance of the €400 million net profit, let me take from a general comment in this way. We will have a number of moving parts in 2025, especially the bank, which will involve some one-off costs, which the accounting treatment of which will be still under discussion or we will have to see when the transaction will be closed. So, based on that, which is an element to incentivize the FAs, we will have to then see what's going to be the lower part of the guidance. We have taken to formulate the lower guidance a very conservative approach on that part as well as on the performance fees. Why? Because we have very limited performance fees incorporated in our estimates and we have included a cost inflation in line with that of 2024. So, if you see this as the lower end as conservative, we tend to agree with you, but given the many different uncertainties that we see from a business perspective as well as from a macroeconomic perspective, we prefer to be conservative and give a €400 million net profit guidance. Whereas on the upper end, we are assuming and again here making some assumptions on how we are going to receive the proceeds from the transaction and how from an accounting perspective we will be able to account for those. But Ale, you want to add or formulate more comments?
Alessandro Zambotti: No, it's okay.
Alberto Villa: Okay, Gabriele, just a clarification. The one-off costs on which you're still discussing the accounting treatment, etc., are embedded already in the lower end of the guidance or are something on top?
Gabriele Blei : Absolutely, they are already included in the lower end guidance.
Alberto Villa: Okay, thank you.
Operator: Next question is from Elena Perini from Inteso San Paolo. Please, go ahead.
Elena Perini: Yes, good afternoon. Hello, Gabriele and Alessandro. I've got actually four questions. The first one is about the decline in the recurring net profit margin in 2024, if you can elaborate on this. And you’ve already talked about the guidance for 2025. As regards this point, referring to the one-off costs which you have said they are already included, I assume that they are included in the most conservative perspective. So, the worst possible accounting treatment for your P&L, but I ask for a confirmation. Then, on the new bank, you mentioned three-month exclusive negotiation period with the FSI or probably some fashioned interviews. And so, we are approaching this term, but it seems that you will require some more time. So, if you can elaborate on this. And finally, a question on tax rate. If you can provide the guidance for 2025 and also on this clarification on the proceeds for the new bank disposal of 80%, I assume that an ordinary Italian tax rate is incorporated in the figures that you mentioned at the beginning of this call. Thank you very much.
Gabriele Blei : Okay. Thank you, Elena. So, let me start from the second one because I think I just answered before. But yes, the one-off cost in 2025 related to what I mentioned of the TNB network is included in the €400 million lower-end guidance that we have provided. In terms of the EBIT margin decline, yes, we had a slight erosion of the margin from 44 to 40. Sorry. Let me take again from 46 basis points to 40 basis points. It is a variation that, as you can see from the six years, sometimes it happens and it is indeed linked to the attainment of very solid results and the one-off expenses that we have mentioned related to the over performance as well as the marketing and TNB associated costs that we have incurred as well as the acquisition of true independence that has increased the asset base momentarily with a very limited contribution in terms of operating results. Then the third question was about the timing of FSI. We are super committed. There are people in this organization that are working around the clock to provide every data that is required in the due diligence process and complete the transaction in the quickest possible time. It does not depend just on us. It is a very complex transaction. We want to make it right and we want to complete this in the shortest possible time. But you will have to bear with us a couple of months more to be able to hopefully tell you more about the successful completion and the proceeds. In terms of tax rate guidance for 2025, I am not the master, but speaking with Alessandro, I understood that we are expecting a 25% tax rate going forward. This is also related to the introduction of the minimum global taxation, which by now has kicked in also in places such as Dubai. And therefore, that is the sustainable long-term guidance that we are looking to have also for the foreseeable future. You asked also some indication on the tax surcharge for the proceeds, which I would not comment for the time being. I would just like to recall you what we have said during the presentation, that the range of valuation is in line with what we originally discussed. And so, as you remember, €1.8 billion to €2.2 billion, which was gross tax. If we expect this in terms of net of taxes, it ends up in a range of €1.2 billion to €1.5 billion. Therefore, if we assume that we will be selling 80%, this takes into account €1 billion to 1.2 billion range net of tax. Okay?
Elena Perini: Okay. Thank you very much.
Gabriele Blei : Thank you.
Operator: The next question is from Domenico Santoro of HSBC. Please go ahead.
Domenico Santoro: Hello. Hi. Good afternoon. Just a follow-up question on the one related to the share buyback. I was listening carefully to what you were saying before and the dictionary that you used, especially when you refer to the financial back and the opportunity that you might grab. And I wonder whether you might consider whatever is the size of the share buyback, to cancel the shares or you would use those for M&A opportunity, assuming also that there is any regulatory implication for Timone to change the relative share in the capital. Thank you.
Gabriele Blei : Thank you, Domenico. No implication whatsoever for Timone. In fact, the proposal to the AGM for the buyback includes what is by now very commonly referred to as the whitewash mechanism which allow us to go even beyond the 25% threshold. So, from that perspective, there is absolutely no impact. What we have done so far in terms of the share buyback, we did several plans in the past 10 plus years, if I'm not mistaken, and we adopted very different approaches because we at one point cancelled the shares. It was back in 2008. Not a very lucky approach because it didn't produce the desired effect. And in more recent times, we have used those shares. So, we kept those shares as treasury shares and we use them in various different transactions. So, let me say that we remain open to use one method or the other, but again, it has to enhance the value that we can create through the share buyback.
Domenico Santoro: Very clear, thank you.
Gabriele Blei : My pleasure.
Operator: So, management, there are no more questions registered at this time. Do you have any closing remarks?
Gabriele Blei : Well, just to thank you very much to everyone. As always, my colleagues and I remain at full disposal for any follow-up questions and we wish you a very pleasant day. Bye-bye.
Operator: Ladies and gentleman, thank you for joining. The conference is now over. You may now disconnect your telephones.